Operator: Welcome to the Adient Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode, until the question-and-answer session of today’s call. I’d like to inform all parties that today’s call is being recorded. [Operator instructions] I'd now like to turn the conference over to Mike Heifler. Thank you, you may begin.
Mike Heifler: Thank you, Sue. Good morning, everyone and thank you for joining us. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I'm joined by Jerome Dorlack, Adient's President and Chief Executive Officer; and Mark Oswald, our Executive Vice President and Chief Financial Officer. On today's call, Jerome will provide an update on the business followed by Mark, who will review our Q3 financial results and outlook for the remainder fiscal 2024. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Jerome and Mark, there are few items I'd like to cover. First, today's conference call will include forward-looking statements. These statements are based on the environment as we see it today, and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to Slide 2 of the presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. And with that, it’s my pleasure to turn the call over to Jerome.
Jerome Dorlack: Thanks, Mike. Good morning, everyone. Thank you for joining us to review our third quarter results. We will also discuss the drivers for our revised outlook and reiterate our long-term commitment to creating sustainable value for our shareholders. Turning to Slide 4, which summarizes the third quarter. Adient's Q3 results were significantly impacted by the EMEA region, which experienced lower volume mix and weaker commercial recoveries. Americas and Asia performed generally in line with internal expectations. Our specific customer and platform sales have been affected much more than headline industry volume figures. For example, in the Americas, our top programs representing 60% of our volumes are down 8% this fiscal year, while S&P production estimates for the same period are up 3%. In EMEA, we are down 3% year-over-year versus S&P being down 1% year-over-year. We believe much of this underperformance is timing related to launches and specific customer inventory management. As Mark will note later in our presentation, we are starting to see signs of progress on certain launches. The Adient team continuous to quickly adapt to changing market conditions and declining vehicle volumes that we’ve seen across the industry. By diligently focusing on the factors that are within Adient's control, the team has continued to execute operationally driving consolidated business performance. Before turning to Adient's key financial metrics for the quarter, which are shown on the right hand side of the slide, I want to remind you that prior year's results benefited from recognizing a one-time insurance recovery of approximately $20 million. Revenue for the quarter totaled $3.7 billion down about 8% compared to last year's third quarter. Adjusted EBITDA for the quarter totaled $202 million down approximately 20% when adjusting for the insurance recovery. We have a high cash conversion business model that played out this quarter generating free cash flow of $88 million. Adient ended the quarter with a strong balance sheet with ample liquidity that gives us flexibility to manage through a dynamic industry landscape and take advantage of opportunities to create value. In this regard, we remain committed to executing a balanced capital allocation plan and during the quarter, we returned $75 million to shareholders through share repurchases. This brought the total year-to-date share repurchases to 225 million. We have repurchased nearly 8% of our outstanding shares since the beginning of the year. As I mentioned before, the industry is continuing to experience near term volume headwinds. Given the reduced customer production environment, we are refining our guidance for the remainder of the fiscal year. Let's walk through some of the dynamics influencing this decision and how each region is navigating the challenging near-term macro conditions and the strategic focus in the long term. Turning to Slide 5. In the APAC region, we have seen top line sales performance in line with the market. This region continues to be the growth engine of the company, particularly in China, where we continue to perform above market. Business performance there continues to be strong and as this region's share of portfolio grows, especially in China, this will provide a natural tailwind of mix for Adient overall. In the Americas, we expect volumes to eventually recover as customers clear excess inventories and make progress on their new product launches. The region continues to be laser focused on flawless execution with a long term focus on margin expansion. The region also continues to reduce its third-party metals business, which is underperforming our expectations for returns. In Europe, we are proceeding with increased caution due to declining volume, insourcing and weakening customer program mix. This quarter, we continue to experience headwinds from customer driven inefficiencies. Last quarter, we announced a first step in our European restructuring. We are planning additional steps to address the ongoing headwinds in the region to manage costs and capacity. We will have more to share when we provide our fiscal year '25 outlook in November. Overall, we remain confident in maintaining our strong business performance and are focusing on the aspects within our control to enhance our results. Turning to Slide 6. We are prioritizing winning the right business and executing successful launches. Our business awards this quarter demonstrate further market share growth in China and enhancements to our global customer relationships. I would like to point out the win with GAC, which resulted in part from our innovative capabilities to drive an outstanding customer experience, while also maintaining a competitive business case. As you can see on the chart, these wins are vertically integrated to include complete seat systems that include JIT, TRIM, Foam and Metals. This is a key enabler to improving margins. We have highlighted a few launches where we have demonstrated strong launch execution and we continue to deliver on safety, quality and on time delivery metrics. One example of this is the Nissan Armada. Adient has fully engineered the full size three- row SUV with both a seven and eight passenger capacity. On this program, we have the JIT foam, trim, second and third row metals. Another successful launch was BYD's first EV program in Thailand, the Dolphin. In the Americas, two Toyota launches have been key to our continued success in the region with our Japanese customers, a key differentiator for Adient. Ultimately, we believe our focus on vertical integration and operational excellence will drive meaningful margin improvement. Including on Slide 7, the team is not satisfied with the current results and the status quo. We continue to leverage our core principles including operational excellence, customer portfolio management and accelerating automation to improve business performance. Diving a bit deeper into these, let's start with operational excellence. As mentioned on the prior slide, excellence and launch execution underpins our business. The team is focused on operational excellence, streamlining processes, reducing waste and optimizing resource allocation, coupled with disciplined capital expenditures including asset reuse. Our cost saving modular assembly process is in production and more are planned for launch in the upcoming year. In addition, there is an increased focus on expanding automation. Automation is not new to Adient. We continue to deploy industry leading tools and now are expanding artificial intelligence tools with a focus on our metals plants where we have the highest amount of non-value added indirect labor that we see as right for the picking. (ph) Automation continues to transform operations by reducing labor costs, improving accuracy and achieving repeatable and reproducible results to transform operations for the future. Innovation is also crucial, not only does it increase seating content, but also increases and enhances customer satisfaction. With respect to that, Adient recently set up a JV with a local comfort system supplier to industrialize and innovate a mechanical massage system. This is the first ever innovative product in the market that Adient China and Jinbo has jointly developed. These innovative efforts are collaboratively distributed across all regions. Shifting to our portfolio where we are focused on growth in APAC, specifically China, where we have seen the strongest margins and increasing content opportunity. The strong portfolio that we have built in the region contributes to our expectation of substantial growth and positive mix. In the Americas region, we view the setup as favorable for continued execution and margin expansion. As I mentioned earlier, Adient's relationship with our Japanese and Asian OEMs is a key differentiator and one thing that makes Adient, Adient. We view this as a competitive advantage with these highly vertically integrated OEMs and programs. We continue to progress our plans to exit low margin Tier 2 metals contracts as well in the Americas region. As previously mentioned, we are reviewing the strategic plan in Europe and the need for additional pairing of those operations. And finally, we are committed to being good stewards of capital and executing a balanced capital allocation plan with a focus on return of capital to our shareholders. Similar to prior years, the team is developing next year's plan, which will be finalized in the upcoming months, including assumptions on macro factors such as production, volumes, FX rates, etc. We will share the details with you when we report our Q4 and full year 2024 results in November. We remain committed to evaluating all options to deliver incremental value to Adient's shareholders as part of this planning process. Now, I'd like to turn it over to Mark to take you through our financials and updated guidance.
Mark Oswald: Thanks, Jerome. Let's jump into the financials on Slide 9. Adhering to our typical format, the page shows our reported results on the left side and adjusted results on the right side. We will focus our commentary on the adjusted results, which exclude special items that we view as either one time in nature or otherwise skewed important trends in underlying performance. Details of all adjustments for the quarter are in the appendix of the presentation. Important to note, year-over-year results were impacted by a one-time favorable insurance recovery in the prior year of approximately $20 million. High level for the quarter, sales were approximately $3.7 billion down about 8% compared to our third quarter results last year. Lower customer volume and the negative impact of FX movements between the two periods drove the year-on-year sales decline. Adjusted EBITDA for the quarter was $202 million down 20% year-over-year when adjusting for the one-time insurance recovery from the prior year. Adient reported adjusted net income of $29 million or $0.32 per share. I'll cover the next few slides rather quickly since details of the results are included on the slides. This should ensure we have adequate time for Q&A. Starting with revenue on Slide 10, we reported consolidated sales of approximately $3.7 billion, a decrease of $339 million compared with Q3 fiscal year '23. The primary driver of the year-on-year decrease was lower volumes and pricing of $285 million. The impact of FX movements between the two periods weighed on the quarter by $54 million. Focusing on the right hand side of the slide, Adient’s consolidated sales were lower in Americas and EMEA, while sales in Asia grew by about 1%, driven by a 6% year-on-year growth in China. In the Americas, lower sales were driven by lower volumes and a weaker program mix. We continue to see a slower than expected launch ramp phase from our customers on certain key platforms. In addition to the slow ramp of certain launches, a few of Adient's high volume programs also experienced downtime as customers managed inventory levels. I will note as we progress out of Q3, we're going to see some green shoots as one or two of our higher volume richer mix launch programs appear to be moving closer to run rate, likely reaching that level early in our next fiscal year. In Europe, we were negatively impacted by overall weaker market demand as well as exposure to customers in programs that had lower production volumes. And in our APAC region, China continues to be the company's growth engine, with sales outpacing industry production. In Asia, outside of China, sales were generally in line with industry volumes. Regarding Adient’s unconsolidated seating revenue, year-on-year results show an increase of about 8% adjusted for FX. The deconsolidation of a joint venture aided the year-on-year comparison. Moving to Slide 11. We provided a bridge of adjusted EBITDA to show the performance of our segments between the periods. Adjusted EBITDA was $202 million in the current quarter versus $276 million reported a year ago. The primary drivers of the year-on-year comparison are detailed on the page. As mentioned earlier, lower volume and mix had the biggest impact, call it $60 million. The volume headwinds were experienced across each of our regions. Outside of volume and mix, currency movements between the two periods pressured year-on-year comparison by about $15 million, primarily related to the peso, RMB, yen and Thai Baht. Partially offsetting the headwinds just mentioned was positive business performance, call it $25 million, when adjusting for the non-recurring insurance recovery in last year's Q3. Key drivers of the year-on-year improvement were improved net material margin, freight costs, engineering and admin costs. One last point, the timing and lumpiness of commercial recoveries has significant impact on the EMEA region as last year's Q3 results included an outsized level of recoveries. The team did a good job at managing business performance in a tough market. The improvements in the Americas and APAC, partially offset the lower volumes and business performance headwinds in EMEA. Similar to past quarters, we provided our detailed segment performance slides in the appendix of the presentation. High level for the Americas, improved business performance of $41 million, primarily driven by net material margin performance, improved freight costs and engineering recoveries. As a reminder, Q3 of '23 benefited from a non-recurring insurance recovery of about $4 million in the region. Volume and mix was a headwind of $34 million impacted by adverse customer mix, slower launches on key platforms and inventory management with certain customers. In EMEA, the year-on-year results were influenced by business performance, which pressured the quarter by about $55 million, and includes the non-recurrence of Q3 '23 insurance settlement, call it $16 million, as well as adverse labor and overhead performance, primarily driven by short notice downtime at certain customers, which created inefficiencies. Commercial margin was a headwind in Q3 '23, as it benefited from an unusually high level of customer recoveries essentially timing. Volume mix negatively impacted the quarter by 16 million. Before leaving EMEA, I'll mention given the challenging conditions in the region, our team conducted its normal course assessment of recoverability of long lived assets, including goodwill. No formal impairment triggering events were identified. That said, due to the recent trend in EMEA's result, impairment warning language is being included in our Q3 '24 Form 10-Q, which we expect to file later this afternoon. Our detailed year end testing is planned for Q4. As you know, we are taking steps to adjust our costs in Europe. We will continue to assess additional efficiency actions in the region. Moving on in Asia, improved business performance related to higher material margin and improved labor efficiencies. Volume and mix negatively impacted the quarter by $10 million, FX was a $7 million headwind in the quarter. In addition to the Q3 regional bridges, we also included a year-to-date look to provide a clear picture of how the regions are performing by smoothing certain of the one-time factors that could influence a particular quarter. In summary, the company continues to drive improved business performance, which is significant given the volume headwinds the team has had to manage through. This is especially true when looking at the Americas and Asia. EMEA, as previously mentioned, is a region that is facing significant macro and structural challenges. Let me now shift to our cash, liquidity and capital structure on Slides 12 and 13. Starting with cash on Slide 12, the right side of the slide highlights the year-to-date results. You can see that the longer timeframe helps smooth some of the volatility in working capital movements. For the quarter, free cash flow defined as operating cash less CapEx was $88 million. The primary drivers of the year-on-year results are listed on the right side of the slide. I won't read each one, other to say that we continue to expect strong free cash conversion for the full year. One last point is called out on the slide, adding continues to utilize various factoring programs as low cost source of liquidity. At June 30, 2024, we had $133 million of factored receivables versus $170 million at fiscal year-end. Flipping to Slide 13, as noted on the right hand side of the slide, the company returned $75 million to shareholders in the quarter, bringing the total year-to-date cash return to shareholders to $225 million. This is approximately 8% of our outstanding shares at the beginning of the year. This move underscores Adient’s belief in being good stewards of capital while maintaining a strong balance sheet, ensuring efficient allocation of resources and flexibility. Turning to our balance sheet. Adient’s debt and net debt position totaled about $2.5 billion and $1.6 billion respectively at June 30, 2024. The company's net leverage at June 30 was just under 1.9 times, which is within the targeted range of 1.5 times to 2 times. Total liquidity for the company was approximately $1.8 billion at June 30, comprised of $890 million of cash on hand and about $923 million of undrawn capacity under Adient's revolving line of credit. Moving to Slide 14. Just a few comments related to our outlook for the remainder of fiscal 2024. As Jerome mentioned, we are updating Adient's fiscal year '24 guidance to reflect current market conditions. On the top line, we have updated our sales guidance to approximately $14.6 billion. Results and outlook reflect revised production forecast and to a lesser degree, the temporary softness of Adient’s customer mix, driven in a large part by customer launch curves and inventory management. Our adjusted EBITDA outlook is updated to reflect the volume impact of the lower top line as forecasted now at $870 million. For the remainder of the year, our current guide assumes business performance will trend higher, mitigating the expected volume and mix headwinds. Net business performance is primarily driven by net material margin performance and improved freight costs. Equity income is expected at $80 million and interest expense is still expected at current $185 million, no change from our prior guidance on these two items. Cash taxes has decreased to about $100 million. For modeling purposes, tax expense is estimated at $110 million, reflecting our revised earnings expectations for the fiscal year. CapEx largely based on customer launch schedules is forecasted $285 million, a reduction from prior guidance as we are matching spending with our customer program volumes and timing as well as our efficiencies that we're driving into the process. And finally, our free cash flow is expected at $250 million, no change from prior guidance as we still expect some modest working capital improvements to offset the lower EBITDA impact on cash flow. To sum it up, we are focused on managing the business controllables such as delivering excellent results for our customers, lowering costs, obtaining fair commercial recoveries and generating strong free cash flow for the owners of our business, while maintaining flexibility with a strong balance sheet. With that, let's move to the question-and-answer portion of the call. Can we have the first question please?
Operator: Thank you. [Operator Instructions] Our first question comes from Colin Langan with Wells Fargo. You may go ahead.
Colin Langan: Hello. Great. Thanks for taking my questions. Maybe just to kick it off, I mean, if I look at the implied Q4, it implies a bit of a step up from year-to-date. So is that correct and what would be driving the longer Q4 results?
Mark Oswald: Yeah. Thanks for the question, Colin. You're absolutely right. If I move from Q3 to Q4, clearly, there's going to be the volume decline that we're looking at there, if you just look at what the revenue implied guidance is there. But it's offset really by the business performance. So when I look at business performance rate, we're going to see some better ops waste, tooling is better, and then obviously our continuous improvement initiatives will help the quarter. Net material margin also is going to be a positive, right? So if I look at just timing of commercial recoveries etc., then there's a little bit in net commodity. So in a large part, yes, outsized business performance versus the volume headwinds that we're expecting.
Colin Langan: Got it. And then, it sounds like you're still sort of working on the 2025 plan, but maybe any update on I think about this time last year you talked about getting to the 8% long term target and I think 100 basis points for volume, 100 from recoveries and 100 from performance. Any color on where that stands and any color maybe on FX? I think the pace of it was a headwind this year. Does that help into next year?
Jerome Dorlack: Yeah. So I'll start and then I'll turn it over to Mark to maybe give some additional color. When we think about kind of the long term margin trajectory for the company getting to that 7.5%, 8% level, Colin (ph), I would break it into the three regions now really and how each of the three regions has performed against expectations and where those are coming from. Where we stand today, we've got -- what we think is really now kind of 200 basis points left to go after. And if you then go kind of region by region, the Americas is really on track to get there. They have still some metals portfolio business left to wind down in their portfolio, I guess. They have things to wind out with certain customers that are taking a bit longer because ICE programs have been delayed, really even as recent as last week meeting with certain customers. We now see a light at the end of the tunnel when those start to wind down in the '26 -- late '26, early '27 time period. And then it just comes down to getting those loss making programs out and the macro costs have really been recovered now. So it's largely a wind out of the portfolio in the Americas and we expect to see, they've gotten 100 basis points better this year. We're not here to give a 25% guide, but I would expect similar progress out of them next year as we move forward. If you then move to Asia or Asia Pacific region, for them, it's really about just holding serve and then expanding revenue. And as they expand revenue there, it's a natural tailwind for Adient. Just as they become a larger part of our portfolio. We just get a natural mix tailwind. Then what's left for us to claw back really now and you've seen it in this call in particular is our European region. So the European region is now going to be year-on-year for us a drag. And as we move forward into ‘25, we expect to see -- I wouldn't expect any significant recovery. And then really as we get into '26, when we see business rolling out of that portfolio with customers that we're going to need to pair out of the portfolio who are either non-critical to us or we're non-critical to them. There'll be, I think, additional restructuring actions that we're going to have to take there to address what is the smaller region for us. We have to get our SG&A in line. You saw the first step of that announced last quarter in the earnings call, there will be additional actions that we have to take. And then in addition to that, there are going to be metals, projects just like in the Americas that have to roll out of the portfolio. And so I think it's a long way of getting at. There's 100 basis points left to get in the Americas and 100 basis points left to get in Europe. And we still expect to see that come through really kind of in a run rate when we get to 27%. It's just a different path now than what we would have expected when we started talking about the 300 basis points, 200 less to get, 100 in the Americas, 100 in Europe. Europe is going to come through restructuring and it's going to come through customer management really.
Colin Langan: Got it.
Jerome Dorlack: And then with respect to your question on the peso, we'll have more to say on that when we get to our ‘25 guide. I would caution you, I wouldn't start thinking about significant peso upside just because of, we have and we talked about this when we talked about the ‘24 guide. I mean, we have a layered hedge policy where we're layering on hedges throughout the year. And so we would have layered on ‘25 hedges during ‘24 when the peso would have been at 16.5 and 17. And so you shouldn't be thinking because the peso today is trading at 19.5 that we're going to have massive upside going into 25. You won't see the effect of a 19.5, if it stays at this level until we get into ’26 really. Just don't start thinking about massive upside at a 19.5 from that standpoint.
Colin Langan: Got it. That makes sense. Thanks for taking my questions.
Operator: Thank you. Our next question is from Dan Levy with Barclays. You may go ahead.
Trevor Young: Hi. Trevor Young on for Dan today. Just had a couple of questions here. But the first, I was going to ask on -- you highlighted the focus on asset reuse as a lever to drive the $25 million cut to your CapEx plan this year. I just wanted to see, if you could unpack this a little bit more and give a sense as to how this could be used as a lever going forward?
Jerome Dorlack : Yeah. So, thank you very much for the question. I think if you look at -- maybe if you start historically and then talk a little bit about the go forward piece of it. Historically, when we were heavily investing in particular into our metals business, I mean, we were spending capital in the $500 million plus range. And it was because we were really going out, we weren't leveraging our capital assets globally. We were really looking at metals in a siloed fashion and reinvesting into new recliner mechanisms, new track mechanisms, new product families and we had a very heavy capital bill. As we move forward now as a company, we've started to leverage our asset base globally. We've really looked at, as an example, press capacity globally. We started now where we've looked at Europe, which has obviously gone from a call it, a $20 million vehicle build, now it's, call it, $16.5 million and you just don't need that type of press capacity in that region. So we started picking up presses, moving them from Europe into the North America region. We're picking up recliner lines, moving them globally around the world now. We're moving track lines around the world now. And so that's when we talk about asset reuse, it's really looking at our asset base globally, particularly in the metals business and taking that burden and spreading it out across the world. And that's how we drive this capital bill down from a $500 million to a more sustainable $300 million level. And really taking this year looking at -- we thought it'd be 315 I think we're now down to the 285 range, that's how we've gotten that $25 million up. Again, just looking at customer program timing, looking at when PPAPs need to be submitted, looking at total asset placement around the world, where can we reuse it and really driving that to a more sustainable level of 300 and we do think that is kind of that long term run rate for the business. Will there be years where it's at 310, 315? Yes. Are there going to be years at 285? Yes. But it's going to be right around that kind of 300 range for the business.
Trevor Young: That's really helpful. Thank you. Just as a follow-up, I know you've got the 3.5% note, I believe should be paid down in 4Q, I assume. In the past, you've talked about paying down some higher priced debt, but I guess just also in the past, I think you've talked about some M&A opportunities. I just wanted to get a sense with the share price where it is, if you're giving any additional consideration to buybacks as a weight in the opportunity set or if the plan that I guess framework is still the same in terms of priorities?
Mark Oswald: Yeah. Great question. And yes, you're correct. Those 3.5% notes come due here in August. So the intent is to pay those, use cash on the balance sheet to pay those down. We said all along that we're going to have a flexible capital allocation plan. We want to make sure that we could obviously invest in the business. We want to obviously return cash to the shareholders, we want to make sure that we have flexibility if an inorganic growth opportunity presents itself, right. And I think we're striking that balance today. I mean, if you look at what we've returned so far in terms of buybacks, $225 million you could probably assume that we're going to continue to repurchase as we move through the fourth quarter. Our free cash guidance here is 250. So pretty likely that we're going to exceed that amount of free cash being returned to the shareholders. So again, striking that balance, so nothing has changed in terms of our thought process there.
Trevor Young: Awesome. I appreciate it.
Operator: Thank you. Our next question is from Joe Spak with UBS. You may go ahead.
Joseph Spak: Thanks. Good morning, everyone. Mark, maybe just to go back to some of the comments about the quarter and the implied fourth quarter guidance. It seems like one of the things, which I believe you mentioned that really hit, it seems like particularly Europe in the quarter was just sort of the very fast nature of the production cuts. And I think if you look at even quarter-over-quarter decrementals in EMEA, they were pretty severe. So it doesn't seem like sales get better in EMEA in the fourth quarter, but is your view just that with better planning the decrementals can be a little bit better or how -- what else should it [Multiple Speakers]
Mark Oswald: Exactly. So, as I called out in the third quarter, right, there was some short notice customer downtime that drives inefficiencies, right? So, it's some better planning there. We also know and have a better line of sight in terms of certainly commercial recoveries, right. Those we've said all along can be lumpy between quarters. So we have a good, what I'd say, line of sight in terms of what recoveries we're going after here in the fourth quarter. I can also look at some of my engineering spend, etc. So when I add those together, I see better business performance in EMEA for Q4.
Jerome Dorlack: And the other thing, Joe, and thank you for the question, is in Q3 and EMEA in particular, we had three customer launches that were taking place simultaneously and the customers were not executing very well. And so we had, I would call it, scheduled reliability on those three launches that was, I mean, sub 60%. And they were taking place in our one German site and two Czech sites that just our ability to manage that short time workforce was extremely, extremely limited.
Joseph Spak: Okay. Maybe just as a follow-up to that then, and it seems like what you're implying is at least quarter-to-date maybe customers are sort of hitting their plan schedule a little bit better, but if you can confirm that. And is there any way to dimensionalize the magnitude of the recoveries you're expecting in the fourth quarter?
Jerome Dorlack: Yeah. I would say that we are, as I indicated, there are green shoots that we're seeing with the customers launching not only here in the Americas but also over in Europe. So yes, we are seeing and dealing more comfortable now in the fourth quarter there. Really don't want to dimensionalize the recoveries other than know that or just say that we have that line of sight because again those barriers we go through the quarter, but feeling confident in terms of what we need to get and the progress to-date in terms of getting those.
Joseph Spak: Okay. If I could just sneak one more in. Can you just remind us with the exiting of third-party metal contracts, like, how much more is there to go? What's the size of that business now that you want to get out of?
Mark Oswald: I mean our total metals business, yeah, let's call it $2.5 billion, I mean of that third-party metals represents almost $800 million to $1 billion or so. I mean we have to wind off or call it balance in, balance out contracts of almost $800 million. That's -- it's not all wind off because there's some that are replaced with more profitable business. But you should really think about it of almost $800 million that's either being wound off or balanced in, balanced out.
Joseph Spak: Okay. Thank you very much.
Jerome Dorlack: Thank you.
Operator: Thank you. Our next question is from James Picariello with BNP Paribas. You may go ahead.
James Picariello: Hi, everybody. Just on that $800 million number in terms of the metals exit, is that a net $800 million in terms of the revenue reduction? Because you also mentioned that there's business coming in. I'm just wondering in terms of the net exit intention.
Mark Oswald: Yeah. I said, I mean net exit, we've never -- I'd say, given that number before, but I mean to kind of dimensionally frame it up, it's probably in the call it, $200 million to $400 million range, James?
Jerome Dorlack: Rolling off.
Mark Oswald: Rolling off.
James Picariello: Right. Okay. And as you think about Europe and the excess capacity in the region, navigating a lower LVP backdrop for years to come as you might frame it. In addition to restructuring actions, is there anything else strategic wise in terms of sharing capacity with others in the region? Just anything besides restructuring on the strategic effort in Europe? Thanks.
Mark Oswald: Yes. I mean, what I would say is, we are evaluating all levers available to us to create value for our shareholders, including pairing of operations, sharing of operations, combining of operations, anything that eliminates capacity or makes use of capacity in an economically feasible manner. And that's the process we're going through right now in a very lively and timely manner. I mean, Europe is, to be very clear, the most burning platform that we have as a company and it's the one that we spend the most time on. Because as you can see in the results, I mean, we're not satisfied with it. It needs to be addressed and it's something that is not going to resolve itself if you look at both the total vehicle volume production going -- it's going to remain depressed. The entrants that are coming into the region are going to take capacity out because of the imports along with our customer actions with the in sourcing that's taking place out there when new plants are being put down, they're doing seeding in house. Those announcements are public from that standpoint that are impacting not only us, but also our competitors, which is creating the excess seeding capacity in the region. And so anything that can create value is what we're evaluating from that standpoint.
James Picariello: Makes a lot of sense. Thanks.
Operator: Thank you. [Operator Instructions] Our next question is from John Murphy with Bank of America. You may go ahead.
Unidentified Participant: Good morning, guys. This is Federico (ph) on for John. I just have a question on Asia. And so I think, Jerome, you said that China grew 6% in your consolidated sales and unconsolidated was 8%. And from what I remember, the unconsolidated sales are like 3, 4 times larger than the consolidated sales. Is there any reason why the unconsolidated business is growing faster and so much larger? Is it a strategic decision or it's just how the market behaves? Thank you.
Jerome Dorlack: Yeah. I would say that if I look at the unconsolidated sales as I indicated in my prepared remarks, there was a deconsolidation of one of our joint ventures that aided the year-on-year comparison there. I'd also say the customer mix is different, right. So, if I look at certain of my unconsolidated sales, right, whether it's my KEIPER joint venture over there. Obviously, they're exposed and have the business with BYD, some of the faster growing Chinese local manufacturers over there. So that [indiscernible] on a like-for-like basis. It’s really a customer mix. It is what I boil it down to as well as the deconsolidation.
Unidentified Participant: Thank you.
Operator: Thank you. And at this time, there are no further questions. [Operator Instructions] And there are no further questions at this time.
Jerome Dorlack: Okay. Well, thank you everyone for joining us this morning. Feel free to give us a call if you have any additional questions and have a good day. Thank you.
Operator: Thank you. That does conclude today's conference. Thank you all for participating. You may disconnect at this time.